Operator: Good day, everyone, and welcome to the Host Hotels & Resorts, Incorporated Third Quarter 2016 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Gee Lingberg. Please go ahead, ma'am.
Gee Lingberg - Host Hotels & Resorts, Inc.: Thanks, Tony. Good morning, everyone. Welcome to the Host Hotels & Resorts' third quarter 2016 earnings call. Before we begin, I'd like to remind everyone that many of the comments made today are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO, adjusted EBITDA, and comparable hotel results. You can find this information, together with reconciliations to the most directly comparable GAAP information, in today's earnings press release, in our 8-K filed with the SEC, and the supplemental financial information on our website at hosthotels.com. With me on the call today is Ed Walter, our President and Chief Executive Officer; and Greg Larson, our Chief Financial Officer. This morning, Ed will provide a brief overview of our operations and the company's outlook for 2016. Greg will then provide greater detail on our third quarter performance by markets and our balance sheet. Following their remarks, we will be available to respond to your questions. And now, I'd like to turn the call over to Ed.
W. Edward Walter - Host Hotels & Resorts, Inc.: Thanks, Gee. Good morning, everyone. Overall, we had a solid quarter. Our operating results, given the trends the industry is experiencing, were quite good and in line with our expectations. We completed the sales of our last two New Zealand assets, continued to make progress on our redevelopment investments, and repurchased 44 million of our stock in September, breaking the year-to-date total return to shareholders to over $800 million. Looking at our operating results, adjusted EBITDA was $342 million for the quarter reflecting an increase of 5.9%. Year-to-date adjusted EBITDA was $1.123 billion, an increase of 5.3%. Our adjusted FFO was $0.37 per share for the third quarter and a $1.28 year-to-date, reflecting an 11.3% increase over last year. A strong EBITDA and FFO performance was driven by the top-line growth and margin expansion. For the quarter, our average rate grew 2.2% complemented by solid demand growth in our portfolio, as comparable hotel occupancy grew by 1.2 percentage points, allowing our comparable hotels to achieve an occupancy rate of 81.3%. As a result, comparable RevPAR growth on a constant dollar basis increased 3.8%. The primary driver of our RevPAR growth this quarter was our group segment. Our domestic hotels benefited from a 3.4% increase in group demand, all generated by a significant increase in association demand. Corporate demand was uneven in the quarter but the shift in the timing of the Jewish holidays from September of last year to October of this year led to a significant increase in corporate group during September. The net result was a 2.5% increase in average rate which was generally achieved across all of our group segments leading our domestic group revenues to increase by 6% for the quarter. Our international assets also buoyed portfolio results this quarter as our Canadian hotels benefited from strong transient demand leading to RevPAR growth of almost 15% and the Olympic Games generated a 105% RevPAR growth in our Brazil asset. Since much of our Olympic business was booked as group, our overall group business actually increased by more than 9% to the quarter. As would be expected, the strength in group demand was partially offset by a decline in transient demand which has been a theme for most of this calendar year. However, unlike the first two quarters, our hotels were able to increase rates and also push business into more highly-rated segments leading to transient rate growth of 2% for the quarter. Taking into account the decline in transient demand, our transient revenue growth was slightly less than 1%. Recognizing the trends we have been experiencing this year, we have been focused on layering in more highly-priced contract business at several of our hotels. Our contract business which is still only 5% of our total demand increased nearly 15% for the quarter and is up 17% year-to-date. The one aspect of our operations that was disappointing in Q3 was our food & beverage department as food & beverage revenues increased by just 0.3% which was roughly 2% less than we had anticipated. While F&B has been notoriously difficult to forecast, the bulk of the shortfall occurred in catering and resulted from groups being more conservative with their entertaining budgets. Our revenue actually grew by nearly 2% which was an impressive result given that transient occupancy had decreased. Offsetting some of the weakness in F&B, our other department revenues grew by a strong 10.5%. We saw a strong increase in spa revenues and an increase in attrition and cancellation fees which was largely concentrated at three of our convention hotels. Comparable hotel revenues increased 3.3% for the quarter. The increased level of higher rated group activity combined with the rate increase in our transient business as well as our continued focus on productivity improvements, resulted in strong rooms flow-through. This flow-through, plus reductions in utility and insurance expenses, contributed to our comparable EBITDA margin growth of a 110 basis points in the third quarter. Year-to-date, comparable hotel RevPAR has increased 3% in constant currency terms. Food and beverage has improved by 2.1%, and hotel revenues have increased by 3.1%. Comparable EBITDA margin growth is 90 basis points, which has generated 56% flow-through for the year which is a very solid result. An important focus of our company is actively managing our portfolio and efficiently allocating capital. Towards that goal, as I mentioned earlier, in the third quarter, we completed the sales of final two New Zealand properties for $31 million bringing out year-to-date, non-core asset sale total to approximately $500 million. We purchased this New Zealand portfolio for $190 million in New Zealand terms and received total sales proceeds in New Zealand dollars of NZD 266 million, which allowed us to achieve better than a 14.5% unlevered IRR on this investment. We are currently marketing our remaining consolidated Asia-Pacific asset, the Melbourne Hilton, and we'd hope to complete a sale during the first half of 2017. In addition, we are marketing a select few other non-core asset while we are making reasonable progress on these sales, the transactions have not yet gone hard and we do not expect any additional asset sales will be completed in 2016. On the investment front, the company invested approximately $46 million in the third quarter on redevelopment, return on investment and acquisition capital expenditures. We completed the initial phase of the Denver Marriott Tech Center redevelopment, which included newly-designed guest rooms in one of the towers, a new lobby and lounge, new fitness center and some additional meeting space. While we are pleased with the progress we have made on this project, we are slightly behind schedule due to some permitting challenges, but still expect to be completed by year-end. In addition, we have also made great progress on the first phase of the renovations at The Phoenician during the slower summer months. This phase included a complete redesign of the guestrooms, casitas and canyon suites. We are excited to have an opportunity to show you our progress at The Phoenician before NAREIT in less than two weeks. For the full year, we expect to spend $200 million to $215 million on redevelopment, ROI and acquisition projects and $300 million to $310 million on renewal and replacement capital expenditures. Now, let me spend a few minutes on our outlook for the remainder of 2016. Uncertainties surrounding the US Election and other international events lead us to believe that corporate profit growth and business investment levels will not improve meaningfully in the near term, suggesting that business transient demand will remain soft in the fourth quarter. While year-to-date, our domestic group revenues went up nearly 4%, we expect to experience a softer fourth quarter as the Jewish holiday shift and nationwide election will reduce group demand and the traditionally lower occupancies in the fourth quarter will likely restrain rate growth. Our group booking and revenue take for Q4 is only slightly positive and assuming continued short-term booking weakness could easily be slightly negative for the fourth quarter. A combination of these factors suggest that we will experience minimal RevPAR growth in the fourth quarter, leading us to conclude that our full year comparable RevPAR will increase between 2% and 2.5%. Weaker group demand and negligible revenue growth will put pressure on operating margins in the fourth quarter, reversing to some degree the strong results we have seen year-to-date. As a consequence, we expect our full-year comparable hotel EBITDA margin growth improvement to be in the range of 40 basis points to 55 basis points. This should translate to full-year adjusted EBITDA of $1.440 billion to $1.455 billion and adjusted FFO per share of $1.64 to $1.66. Looking ahead to 2017, as we have indicated in prior years, our visibility at this time into next year is limited as we have just started on our detailed operating budget process. There are a number of factors that will influence operating results in 2017, starting first and foremost with the economy. This year, we are experiencing weaker GDP growth and declines in corporate profits and investments, plus the strength in the US dollar. These factors have led to weak corporate transient demand and reduced international travel, resulting in industry demand growth of just 1.5%, which is well short of the average of nearly 3% for the last three years. The outlook for GDP corporate profits and corporate investment is more favorable in 2017, but the concept that it will be better next year has been offered frequently during this recovery and generally hasn't come to fruition. The current fee outlook is slightly more favorable, especially in countries such as Japan and Brazil, which could lead to better international travel trends. As opposed to the uncertainty surrounding demand factors, it is clear that supply is increasing. In our top 19 markets, upscale and above supply has increased by roughly 2.5% in 2016, while a number of reports have correctly noted that our portfolio is less exposed to new supply than many others in the industry, primarily because we benefit from a more diversified distribution. Supply in our markets is still expected to increase by more than 3% in 2017. While we are experiencing record occupancies this year, this anticipated supply increase suggests that we will need to have stronger demand growth in 2017 to have pricing power. Our group revenues for 2017 are up over 2.5%, but short-term bookings have been growing at a slower rate and so we would not accomplish expect to benefit (12:15) from the significant increase in group activities that we have seen in 2016. Combining all of these insights along with the trend of weakening top-line growth that we have seen over the last two years, we would not expect to see RevPAR accelerate in 2017 unless the economy improves meaningfully. We will provide much greater insights into our outlook for 2017 in our fourth quarter call in February. With that, let me turn the call over to Greg Larson, our Chief Financial Officer, who will discuss our operating and financial performance in more detail.
Gregory J. Larson - Host Hotels & Resorts, Inc.: Thank you, Ed. I'll start with commentary on performance in several of our major markets. Our consolidated international hotels had a spectacular third quarter with double-digit RevPAR increases in Latin America and Canada of more than 61% and almost 15%, respectively. As anticipated, the Olympic and Paralympic Games in Brazil drove significant increases in our three Brazilian hotels. Our hotels in Calgary and Toronto also experienced double-digit RevPAR growth. Toronto's outperformance was mainly the result of a Microsoft city-wide in July which caused compression in that market. Calgary experienced strong growth due to an increase in events at the convention center. Keep in mind that overall demand in Brazil, excluding the demand surrounding the Olympics, has been weak due to concerns over Zika, economic and political issues, as well as increased supply. As a result, we expect lodging fundamentals in Brazil to weaken in the fourth quarter. As discussed last quarter, despite the slow start in San Diego in the first half of the year, RevPAR for our assets in the market grew at an impressive 11.8% this quarter, with occupancy growth of 5.6 percentage points and a 5% increase in average rate. Importantly, our RevPAR results exceeded the STAR upper upscale market results by 430 basis points. The increase in city-wide room nights from MLB All-Star Game and Comic-Con created healthy compression in the market and resulted in strong group business, which was up almost 26%. Looking to the fourth quarter, we expect our hotels in San Diego to continue to outperform our portfolio. Our hotels in Hawaii grew RevPAR 7.7% this quarter, beating the STAR upper upscale market results by 220 basis points. Occupancy increased 4.8 percentage points and average rate improved 2.1%. Strong transient demand at our Mali hotel coupled with solid group business at the Fairmont Kea Lani and Hyatt Place Waikiki offset ballroom renovation displacement at Hyatt Maui. Short-term transient demand increased more than anticipated in August and September, as vacationers chose Maui over the Zika-feared Caribbean locations and airfare costs remained stable. We expect our Hawaiian hotels to continue to outperform our portfolio in the fourth quarter. In addition, we should note that Hawaii is the market with the lowest expected supply growth out of the top-20 U.S. markets for the next couple of years, which bodes well for future performance. As expected, our properties in D.C. outperformed our portfolio again this quarter, with RevPAR growth of 6.8% outpacing the STAR upper upscale market RevPAR increase by 120 basis points. This was driven predominantly by an average rate increase of 5.6% as well as a 90-basis point increase in occupancy. The Westin Georgetown, JW D.C. and Grand Hyatt all had double-digit RevPAR growth this quarter benefiting from renovations in the comp set and a strong group base that created mid-week compression and enabled the hotels to drive strong average rate growth. With elections next Tuesday and the resulting slowdown in legislative activity, we expect RevPAR growth to slow in the fourth quarter, but still expect outperformance relative to the portfolio. Even though we have not provided any guidance for 2017, it is worth mentioning that city-wides in 2017 look strong for D.C. Combined with Congress operating on a full calendar and Inauguration in January, we expect there will be additional demand in 2017. Los Angeles continues to outperform the portfolio, with a 6.6% increase in the third quarter. The results were driven by a 3.5% growth in average rate and a 2.5 percentage point increase in occupancy. Strong group and contracts business at several of our hotels drove the RevPAR increase which exceeded the STAR upper upscale market results by 120 basis points. Year-to-date, our hotels in Los Angeles have grown RevPAR by 8.9%. Looking forward to the fourth quarter, group booking pace in Los Angeles remains strong and as a result, we expect continued outperformance from our Los Angeles properties. In Atlanta, RevPAR increased 5.6% for the quarter as a result of average rate growth of 0.8% and occupancy increase of 3.6 percentage points. Continued strong city-wide room nights in the third quarter contributed to the outperformance. As anticipated, the city-wide calendar on a year-over-year basis for the fourth quarter will be weak. Therefore, we expect fourth quarter RevPAR to be flat for last year. Moving to some challenged markets. New York RevPAR decreased 4% basically in line with the STAR upper upscale decline of 3.6%. Supply continued to outpace demand, which when combined with lower European travel and tour business due to the strong US dollar continued to negatively impact our ability to drive rates. Based on our outlook for the market, we expect the hotels in New York to continue to have a RevPAR decline in the fourth quarter. RevPAR of the San Francisco hotels declined 3.4% with a decrease in both occupancy and rate this quarter. Group room nights were down due to the Moscone Convention Center expansion which will continue to negatively impact San Francisco in 2017. Due to the lack of group compression, almost all hotels booked more lower-rated transient business resulting in overall transient ADR decline of 5.4%. Our San Francisco hotels will likely underperform our portfolio in the fourth quarter. The Houston market continues to be impacted by the struggling oil industry and increased supply as evidenced by the superior decline in the STAR upper upscale of nearly 14%. Our Houston hotels' RevPAR declined 2.9% in the quarter, as a 3.7% decrease in ADR was partially offset by a small increase in occupancy. Two major city-wide events did not repeat in the third quarter this year compelling our managers to book group business at our hotels to maintain occupancy. This proved to be the right strategy as we beat the STAR upper upscale market by 11 percentage points. We expect the difficulties in Houston to continue in the fourth quarter and therefore anticipate that these hotels will underperform the portfolio. RevPAR of the hotels in Seattle declined 1.5% in the third quarter. Occupancy declined about one percentage point to almost 91% and ADR decreased 0.3%. Last year, our hotels in Seattle had a record group business in the quarter and grew at RevPAR 9.8%, making for a difficult comparison this year. Many of the groups during third quarter last year did not repeat this year and the market has seen a decrease in Canadian leisure weekend business contributing to the weaker results this quarter. We expect performance to improve in the fourth quarter as transient demand increases and the W Seattle will benefit from being under renovation last December. RevPAR of the Phoenix hotels grew 0.6% in the quarter with an occupancy decline of 4.3 percentage points and an increase in ADR of 7.9%. Our hotels were negatively impacted by group cancellations, slippage and soft transient demand. We expect RevPAR of the hotels in Phoenix to improve in the fourth quarter. Chipping to our European joint venture, the portfolio continues to be negatively impacted by a number of macro factors, including the lingering effect of the terrorist attack in Paris and Brussels and the political and economic uncertainty pre and post Brexit. All this led to a RevPAR decline of 2.6% in constant euro this quarter. As expected, our hotels in Paris and Brussels significantly underperformed the portfolio while our hotels in London, Spain and Stockholm outperformed. We expect our hotels in Paris and Brussels will continue to be challenged in the fourth quarter. As noted in our press release, during the third quarter, we repurchased 2.8 million shares at an average purchase price of $16.04 for a total purchase price of $44 million. Since the inception of our share repurchase program in April of 2015, we have bought back 51.4 million shares of common stock for a total purchase price of approximately $883 million. We currently have $117 million of capacity remaining under the repurchase program. In addition, in October, we paid a regular third quarter cash dividend of $0.20 per share, which represents an annualized yield of over 5% on the current stock price. Based on our current operating forecast, combined with taxable gains generated from our completed asset sales to-date and our regular fourth quarter dividend, we expect to pay a special dividend of approximately $0.05, bringing total dividends for the fourth quarter to $0.25 per share. We continued to operate from a position of financial strength and flexibility and believe we have one of the best balance sheets in the lodging REITs and overall REITs space. Importantly, we view this as a key competitive and strategic advantage which enhances our ability to pay our dividends throughout the cycle and allows us to invest as opportunities arise to buy asset, buy back our stock or reinvest in high-yielding redevelopment or ROI projects. We ended the third quarter with approximately $340 million of cash and currently have $628 million of available capacity under our revolving credit facility. We improved our leverage ratio, as calculated under our credit facility, to 2.5 times. It is important to note that when updating models for 2017, our 2016 adjusted EBITDA includes $12 million for the reimbursement of operating losses at the New Orleans Marriott due to the 2010 Deepwater Horizon oil spill. In addition, the 2016 full-year guidance includes adjusted EBITDA of $13 million that was earned by the hotels that have been sold during the year. Therefore, a total of $25 million in EBITDA will not repeat in 2017. However, keep in mind that comparable EBITDA margin growth in 2016 was not impacted by these items as the business interruption insurance proceeds and sold assets are excluded from our comparable hotel results. In summary, we are pleased with our results this quarter as the profitability of our assets continues to improve due to our aggressive asset management strategies in what continues to be a competitive environment. This concludes our prepared remarks. We are now interested in answering any questions you may have. To ensure time to address questions from as many of you as possible, please limit yourself to one question and one follow-up.
Operator: Thank you. We'll go first to Anthony Powell with Barclays.
Anthony Powell - Barclays Capital, Inc.: Hi, good morning, everyone. I believe you mentioned the group cancellations a few times in your script. So if you could give us more details on what exactly was going on there and what markets were impacted and if you expect that to continue next year?
W. Edward Walter - Host Hotels & Resorts, Inc.: Yes. Overall, we've seen that cancellation and attrition fees, which is what we were talking about, have been higher this year than they have been in the last few years. Now, I would tell you that the level of attrition and cancellations we saw in the first half of this decade was below what I would describe as our long-term average, but the bottom line is they're up about 30% for the year. They were up closer to about 60% this particular quarter. We saw the cancellations in Orlando and at two of our larger convention hotels, one in San Francisco, which I suspect might have been a little bit related to some of the activity out there at the convention center that you're all fully aware of, and also at the Marquis. I would imagine that you'll – that we think that will moderate a bit in the fourth quarter, but it's not abnormal at this part of the cycle to start to see a little bit more in terms of cancellation and attrition activity. So we would expect to see that continue at a slightly elevated level compared to the 2010 to 2015 timeframe. Part of that, I would note, though, is I'd be careful to draw the conclusion that means that people are canceling it or not showing up to a greater degree in the past. I'm sure that's part of what's happening. Some of that, this is also reflective of the fact that we have better contracts from our perspective, which is enabling us to recover more when folks don't show up.
Anthony Powell - Barclays Capital, Inc.: Got it. Thank you. And Greg, I think you mentioned your ability to pay your dividend through the cycle. What did you mean by that? And are you committed to maintaining your current dividend even as taxable income goes down a bit next year?
Gregory J. Larson - Host Hotels & Resorts, Inc.: Yes. I mean, obviously, as I noted today, our taxable income actually exceeds the $0.80. And so, yes, I think we – what we've said in the past is that we would like to pay our dividend throughout this next cycle, and if our taxable income were to have a modest drop next year, yes, I think because we have one of the best balance sheets in the entire REIT universe, I think we're in a good position to be able to continue to pay the dividend.
Anthony Powell - Barclays Capital, Inc.: All right. Thank you.
Gregory J. Larson - Host Hotels & Resorts, Inc.: Thank you.
Operator: And we'll go next to Joseph Greff with JPMorgan.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, everybody. Greg, can you help us understand how much the Olympics contributed to your Brazil results in terms of revenues and EBITDA in the third quarter?
Gregory J. Larson - Host Hotels & Resorts, Inc.: I mean, when we look at our hotels in Latin America, I mean, they had a RevPAR increase in north of 60%, so obviously, a little bit.
W. Edward Walter - Host Hotels & Resorts, Inc.: Yes. One way to look at that, Joe, would be that our – I think for the full year, we're probably expecting that our Brazil hotels will generate between, call it, $10 billion to $12 billion worth of EBITDA. So, they're not overly significant to our overall results, but there was – we had an incredibly strong quarter especially at the top line, and that obviously did influence our overall results for the quarter. Having said that, if you look at our domestic results, we would still – we've still had a very solid quarter from a domestic perspective with RevPAR being up 2.8%. So, no doubt that that headline number is better because of Brazil, but we were strong in Mexico and we were strong in Toronto, too. So, all of our international hotels had a good quarter and domestic portfolio did, too.
Joseph R. Greff - JPMorgan Securities LLC: Great. And then, you talked about this in your earlier prepared remarks about the transaction market, but can you talk about the asset sale transaction market? I guess how frozen is it now, especially when you look at markets with high supply growth, say, a city like New York? Thank you.
W. Edward Walter - Host Hotels & Resorts, Inc.: Yeah. I would say that it certainly not – and I think you've heard this from others. The market is not as robust as it was in 2014 and the first half of 2015. Having said that, I would say that there's still activity happening. I just think deals take longer. The number of folks that are chasing a particular transaction is probably a little bit thinner. We're hearing as we talk with the brokerage community, as we look at the experience we're having, we're finding that the international buyers are probably a bit higher percentage of the activity than in past. You're seeing some smaller operators associated with family offices chase after some of the smaller deals that are out there. I've heard that some of the public but non-traded REITs or non-listed REITs have been a bit more active, too. So there's still a market out there. I feel reasonably optimistic that we're – I certainly feel optimistic we'll sell Melbourne. I think that there is a decent chance that we'll complete a few more asset sales. But as I started off in saying the market is not as strong as it had been, and that's why you're not seeing as many sales announced by folks.
Joseph R. Greff - JPMorgan Securities LLC: Thank you.
Operator: We'll go next to Shaun Kelley of Bank of America.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Hey. Good morning, guys. Ed, maybe just to follow-up on that last point. You had laid out a program of I think $500 million to $1 billion. You're at the lower bound of that now, of what you wanted to target. Is there a chance that getting further, reaching too much further closer to the $1 billion, is increasingly off the table just given what you're seeing out there? How are you thinking about that target now?
W. Edward Walter - Host Hotels & Resorts, Inc.: Short answer is that I think we can still over the next three quarters get to the $1 billion number. But I would also say that that is totally dependent on us feeling comfortable with the pricing that we get. Greg talked about the strength of our balance sheet, and I think you all recognize that. We're not doing this for liquidity reasons. We're doing this because we're trying to be smart about how to continue to position our portfolio for the future. And the assets that we're selling now are just ones that we generally think will not perform as well as the remainder of our portfolio or may have higher capital needs. The one exception to that would be Melbourne, where we've made the conscious decision to exit the Asia-Pacific market and so we want to sell that property. We won't sell that for a bad price, by any means, but that is one that we are more motivated to sell perhaps than some others. So bottom line is that I think we still have a reasonable shot at getting to the high end of that range, but we'll be thoughtful in terms of evaluating the sale opportunities that we have and making the decisions going forward on those sales.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Great. I appreciate that. And then my follow-up is related to some of your comments on supply. So appreciate that color as we look forward to next year. If I recap, I think you guys said that in Host markets, you're looking for greater than 3% supply in 2017. Can you just give us a sense of where is that number this year in Host markets so we can compare and see how big of an acceleration you're anticipating?
W. Edward Walter - Host Hotels & Resorts, Inc.: Well, you mean what is that number this year? Is that what you were asking?
Shaun Clisby Kelley - Bank of America Merrill Lynch: Yeah, correct.
W. Edward Walter - Host Hotels & Resorts, Inc.: Yeah, so I think the number that we're quoting, what we're finding today as relevant is to look at upscale and above. So I think you know that the upper upscale segment generally has very light supply. And I think that's still coming in generally across the board in our markets at less than 2%. But it's clear to us that, depending upon the property, we may compete with upscale supply, too. And so if we look at that particular number, this year we would say that across our top 19 or 20 markets, we're looking at supply that's roughly 2.5% in 2016. We think that's going to escalate to slightly more than 3% in 2017. Markets that we are a bit concerned about would be ones that you are, too, Seattle, Denver, Houston, and New York. I think the thing to note for us, though, is that while those markets represent about, call it, 15% of our EBITDA, we also have great representation in some markets like Atlanta, Hawaii, San Diego or San Francisco, that are expected to have much lower supply. And in fact, those last four markets that I just referred to, we have more than 25% of our EBITDA coming from those markets. So hence my point in our prepared remarks that when we see our portfolio compared to others, we think we have a little bit less exposure to supply than some others because of the diversity in the portfolio.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Very clear. Thanks a lot.
Operator: We'll go next to Stephen Grambling with Goldman Sachs.
Stephen Grambling - Goldman Sachs & Co.: Hey. Good morning. Two questions. First, you added a disclosure on hotel management opportunities in the press release. Can you provide some additional color on how the new economics impacted results and also address how many properties are potentially still governed by above-market management fee agreements?
W. Edward Walter - Host Hotels & Resorts, Inc.: Yeah, we had agreed at least for the short-term not to provide specifics about that particular transaction. So, unfortunately, I'm going to have to abide by that agreement. But I would say that we had an opportunity there where a contract was expiring and there was a chance to both lower our management fees. We extended the term a bit, but we retained a fair amount of flexibility in terms of how the hotel would be operated going forward.
Stephen Grambling - Goldman Sachs & Co.: Okay.
W. Edward Walter - Host Hotels & Resorts, Inc.: I think if you look across our portfolio, we do continue to have a number of opportunities. It probably falls in the realm of a couple of years you space things out over the next five to seven years where there's an opportunity to consider either replacing the existing branded operator with a franchise operator or we may have contracts that terminate that offer us even more flexibility. So I think it's an area that we've been able to have a fair amount of – we view that where we've may done conversions or where we've changed contracts, we're consistently seeing anywhere from a 10% to 20% improvement in EBITDA as a result of the changes that we're making. And it's something that we could build into our business plan for each year is to look at the opportunities that may exist for that year and then try to exploit them.
Stephen Grambling - Goldman Sachs & Co.: Thanks. Then just as a follow-up, with the closing of the Marriott Starwood transaction, can you just give any kind of initial color on the potential impact there, and any difference in hotel level fundamentals between the two companies and comparable chains? Thanks.
W. Edward Walter - Host Hotels & Resorts, Inc.: Of course, at this point, they've only been closed for probably less than 45 days. And certainly, maybe the biggest issue that surrounds that whole transaction from our perspective as an owner will be how smoothly and how successfully the integration goes. I'm sure that Marriott and Arne will give you more insights into those issues on their call which I'm assuming is later this week. I guess what I'd say is, as we've looked at this and we've consistently said this since the transaction was announced, our Starwood Hotels were operated under the Marriott expense and cost structure, not fee structure, but the operating costs of running those hotels. We think that there will be an opportunity to reduce expenses at our Starwood Hotels. There's a number of elements of the Marriott system, be it reservations or purchasing or some other areas, including their agreements with the online company where the Marriott contracts and the Marriott cost structure is cheaper. I can't – it's – we know that as they work their way through the integration process, we will start to see the benefits of those cost savings. But it's a little hard right now for us to predict how quickly that will happen.
Stephen Grambling - Goldman Sachs & Co.: Fair enough. That's helpful. Thanks.
Operator: We'll go next to Thomas Allen with Morgan Stanley.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey, good morning. It seems like one of the bright spots during this earnings season has been leisure trends outperforming. I mean, how long do you think that leisure trends can continue to outperform given the corporate environment? And any other thoughts on leisure trends would be helpful. Thank you.
W. Edward Walter - Host Hotels & Resorts, Inc.: Yes. I think as long as employment remains fairly strong then I would say looking back in past history, leisure should probably hold up fairly well. If you go back to the 2001 to 2003 downturn, we generally found throughout that downturn, because it was not from an economic perspective, it was not that severe. Hence, unemployment, if my recollection serves me right, did not increase significantly during that time period. We found that our resort hotels outperformed during that time period, and we generally found that leisure travel was fairly strong. I think, going forward, the other thing that will affect leisure travel will be international leisure. We've had – the last 18 months have been a bit weak, primarily because of currency. But assuming that the currency stabilizes, I think there's an opportunity for some pickup there. We're generally fairly bullish as you look out over the next five years about our resorts profile. We think it benefits from both a combination of the leisure trends that we just discussed, and secondarily, it benefits from the fact that supply in the resorts segment is much lower than the industry as a whole.
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful. Thanks. And then, can you just give us an update on how you think the hotel brand's direct booking push is affecting your business? Thanks.
W. Edward Walter - Host Hotels & Resorts, Inc.: We're generally in favor of what they are trying to do there. We know that there is some short-term pain associated with that. The best estimate that I have heard of that is it might have cost us a couple of tenths of RevPAR growth in the last couple of quarters. So we're watching it and well, obviously, to the extent that it doesn't seem to be accomplishing their goals, may urge them to reconsider it. But at this point in time, we're still comfortable with heading down that path. I mean, the bottom line is that the reservation made through an operator website is a heck of a lot cheaper for us than one that might come through an OTA in terms of the costs associated with that booking. And so to the extent that we can drive more traffic to that operator website, we generally think that makes a difference for us from the bottom line and that's what matters most to us.
Thomas G. Allen - Morgan Stanley & Co. LLC: Thank you.
Operator: We'll go next to Smedes Rose with Citi.
Smedes Rose - Citigroup Global Markets, Inc.: Hi, thanks. I was just wondering if you could maybe talk about, and I'm sure you'll give more detail on your fourth-quarter call, but just your CapEx priorities as you think about 2017 and where you are? You have about $100 million left on your share repurchase program, would you look to continue to buy back shares at these levels or just sort of some general thoughts around that?
Gregory J. Larson - Host Hotels & Resorts, Inc.: Sure. Let me answer the second question, first. We will be buying more of our shares back, especially if the price remains at the current level. And we do – we have the balance sheet capability to do that. We have the authorization from the board to do that. So, you should assume that we'll continue to pursue a share buyback. CapEx for next year, I'd say that we've been – had been targeting for a few years now to be spending a bit less, especially on maintenance CapEx in 2016 and I think that will carry over in 2017. So, I would generally expect to see a little bit less capital in 2017. Our thought had generally been that we would prefer to – we would look to increase capital spending a bit later in the cycle under the theory that it costs us a little bit less maybe in terms of lost occupancy. And it costs us a little bit less because oftentimes as you get near the end of the cycle, pricing for construction projects drops, too. So, we're not at the point we're making any decisions about 2018. We are looking hard at our 2017 plan, and I'd say general – the general initial sense, without putting a hard number on it, is it will be lower than what we've spent in 2016.
Smedes Rose - Citigroup Global Markets, Inc.: Okay, that's helpful. You know, you mentioned earlier, too, that all things being equal that Marriott Hotels run, I guess, at a higher relative operating margin versus Starwood. And I was just wondering, I mean just two similar hotels side-by-side, like what is kind of the difference, all things being equal? Is it like 50 basis points or is it a point of margin or just kind of very broadly?
W. Edward Walter - Host Hotels & Resorts, Inc.: You know Smedes, I know that it is less, but I'm not confident enough, sitting here right now, to give you a direct answer on that question. So, let's – I don't think it's more than a point. Let's put it that way.
Smedes Rose - Citigroup Global Markets, Inc.: Okay. That's fair enough. I just – that's helpful. Thank you.
Operator: We'll go next to David Loeb with Baird.
David Loeb - Robert W. Baird & Co., Inc. (Broker): Hi, good morning. I wonder if I could just take you back to capital allocation. I noted the increased ROE spending in the fourth quarter, and I wonder if you could just comment about how you look at ROE spending versus buybacks? And how tightly tied are future asset sales and continued stock buybacks? Thanks.
W. Edward Walter - Host Hotels & Resorts, Inc.: I would say that the increase that you saw in the ROI CapEx – or the redevelopment CapEx is a lot more to just do with the timing of when we expect to complete projects, and probably even more so when we expect to close them out, rather than being an indication of any change in philosophy or change in quantity in terms of our projects. There may be a little bit of a couple of projects being a hair more expensive than what we had originally anticipated. But the reality is that overall in talking with our construction group. Our overall budgets – our overall performance compared to budget is coming in pretty consistently with what we expected. And so that mild increase that you see in the numbers compared to the prior quarter really just reflects the fact that we expected to pay for more of the costs this year, and that's likely because we're finishing a little bit sooner for some of those projects. I think as the – looking beyond that or thinking more broadly, we look at all of these different options, whether it's investing in the portfolio, buying stock or other investments on kind of a comparative basis. Opportunities to enhance the portfolio have generally driven higher rate or higher levels of return and will continue to be attractive. Having said that, I don't think we have as many of those opportunities in 2017 as we've had in 2015 and 2016. And so I expect, the volume of activity in there will be lower.
David Loeb - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Operator: We'll go next to Rich Hightower with Evercore ISI.
Richard Allen Hightower - Evercore ISI: Hi. Good morning, guys.
W. Edward Walter - Host Hotels & Resorts, Inc.: Good morning.
Richard Allen Hightower - Evercore ISI: So just another twist on the Marriott-Starwood question. So I appreciate the color that you guys were able to give on in terms of how you're looking at 2017 at this point. But to the extent that Marriott is able to give an initial look on 2017 RevPAR when it reports next week and also given that I believe that the overlap in terms of concentration within Host portfolio is even higher today now that the deal has closed than it was before, do you think that there would be any material differences in how they view North American RevPAR growth next year versus what you guys might think about your portfolio?
W. Edward Walter - Host Hotels & Resorts, Inc.: Rich, that's a great question and I think to some degree we're all sort of chuckling here as we hear that. Here's what I will tell you. Clearly, our hotels, in the position they're in, both physically and locationally. Should generally perform in line with what Marriott would generally be suggesting their broad-based brands would deliver. Now, their optimism about what the numbers might be for next year versus our trying to be realistic could – in other words, it's hard to predict exactly how they're going to look at next year and what message they want to try to convey. So I guess at the end of the day, we've tried to provide you with as clear a view as we can have at this particular time in terms of what's going to happen for 2017. Ultimately, as you're suggesting, I would expect our hotels to generally perform in line with what they would be predicting for domestic performance because our hotels represent a big part of their portfolio.
Gregory J. Larson - Host Hotels & Resorts, Inc.: Yeah, I agree with all that. I mean, obviously, there are some geographic differences as well and plus, as you know, Rich, a lot of the supply growth recently has been on the select service side. And they have, obviously, quite a bit of select service. We do not. So that could be another difference as well.
Richard Allen Hightower - Evercore ISI: Yeah, that's very helpful color, guys. And then my second question is just on G&A. As you think about the fact that you're exiting certain markets around the country and around the world as well, and I'm assuming that transaction expenses are included in the corporate G&A line item at this point. I didn't see a different number anywhere else in the release. Do you see G&A savings opportunities in some of those categories or other categories as we think about next year and beyond?
W. Edward Walter - Host Hotels & Resorts, Inc.: I don't know that I would – the short answer is yes in the standpoint that, as we have phased out of the Asia market, we are certainly cutting expenses in that market and so that there is some benefit that flows from that. I don't know that I would necessarily expect, though, in modeling our G&A expense that you should be thinking that there'd be radical differences from one year to the next, at least in the context of 2016 looking at 2017.
Richard Allen Hightower - Evercore ISI: Okay. Thank you.
Operator: We'll go next to Robin Farley at UBS.
Robin M. Farley - UBS Securities LLC: Great. Thanks. I think in the past you've talked about needing RevPAR to grow in the 2% to 3% range to offset increases in expense. Your comments about next year suggest that maybe you wouldn't expect more than a 2% increase, maybe even lower or just something similar to this year's levels around 2%. How should we think about expense growth without – or I guess impact on profitability if RevPAR is not up above the level to offset those higher expenses? And your comment about maybe savings from the Starwood-Marriott transaction, if I'm understanding that right, it sounded like maybe that's only 100 basis points of expense to be offset. And I guess that would only be in the sort of – I don't know, is that like 20% or 25% of your room base that are Starwood, coming from Starwood. Maybe you could put some color around that. Thanks.
W. Edward Walter - Host Hotels & Resorts, Inc.: Sure. So first off, I would say that in terms of thinking about the level of RevPAR and revenue growth that we likely would need from one year to the next in order to maintain the margins that we have, I'd say today our thinking is that needs to be right around or just slightly above 2%. And that's based on nothing more complicated than expecting inflation to generally run at about that level. And so if our costs go up by inflation then we certainly need to match that at the revenue line in order to maintain our margins. Now I will point out that that does mean that EBITDA grows at that same rate of inflation or slightly better. And so that's not suggesting that we'd be at flat EBITDA, but I think that's still a reasonable reference point. We do think that there are some things that we're working on now, including the continuation of the time-motion study work that we've done, which we talked about before and has saved us a fair amount of money this year. We do think there are some things on those lines that might benefit us next year. And of course, to the extent that we end up with a lower level of RevPAR growth that we've been suggesting, then we'll be working hard at trying to find other ways to take costs out. Some of that will, of course, be dependent upon whether that lower level of RevPAR is generated more by lack of rate growth or perhaps a reduction in occupancy. The latter, obviously, gives us a better opportunity to try to take costs out of the system. In terms of the benefits that would flow from the Marriott-Starwood merger, I honestly would not be expecting to see a significant amount of that benefit in 2017. There are a few things that could happen more quickly, but I think there's still some work to be done in this area. I believe that the opportunity benefit from the new Marriott-negotiated OTA agreements could probably take hold next year. But I think a lot of the other integration activity that would be required for us to get the expense savings are likely to take a bit longer to happen. And so I would not be counting on a benefit of that in 2017.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thanks. And for my follow-up question, do you think the current environment with at least not accelerating RevPAR growth, I don't know if you see it decelerating next year, but this current environment, do you see opportunity in maybe consolidation among just the REITs? In other words, you haven't been a buyer of assets, but would it make sense, could it make sense for you to be involved with consolidation among small or medium-sized REITs?
W. Edward Walter - Host Hotels & Resorts, Inc.: That concept of consolidation on the ownership side has certainly gotten more attention since we've seen a bit more consolidation on the operating side. To-date, despite the fact that I think a number of you have offered good reasons why that should occur. We have not seen that occur. So I wouldn't rule out that it could possibly happen, but I would say that it's not a particular objective of ours. We're not concerned about getting larger, we're just concerned about essentially becoming more valuable. That could happen in the context of a larger transaction. But typically that has not proven to be the case.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you.
Operator: We'll go next to Harry Curtis with Nomura. Mr. Curtis, your line is open. You may have us muted at the time.
Harry C. Curtis - Nomura Securities International, Inc.: Yeah.
Operator: Thank you. We can hear you now.
Harry C. Curtis - Nomura Securities International, Inc.: What's that? I don't have a – I'm not on the line.
W. Edward Walter - Host Hotels & Resorts, Inc.: Well, you are, Harry. We can hear you.
Harry C. Curtis - Nomura Securities International, Inc.: It's not on.
W. Edward Walter - Host Hotels & Resorts, Inc.: Well, I guess we'll have to move to the next caller.
Operator: Mr. Curtis – are you able to hear us right now, Mr. Curtis?
Harry C. Curtis - Nomura Securities International, Inc.: Can you hear me?
Gee Lingberg - Host Hotels & Resorts, Inc.: Yeah.
Operator: We can hear you, Mr. Curtis? Can you hear us?
Harry C. Curtis - Nomura Securities International, Inc.: Can you, guys, hear me?
W. Edward Walter - Host Hotels & Resorts, Inc.: Yeah.
Operator: Mr. Curtis, again, we can hear you.
Harry C. Curtis - Nomura Securities International, Inc.: Okay.
Gregory J. Larson - Host Hotels & Resorts, Inc.: Let's move to next question.
Operator: Okay. Thank you.
Harry C. Curtis - Nomura Securities International, Inc.: No, no. Greg?
Gregory J. Larson - Host Hotels & Resorts, Inc.: Yes. Hi, Harry.
Harry C. Curtis - Nomura Securities International, Inc.: Hey. Sorry about that. We're having Cisco problems.
Gregory J. Larson - Host Hotels & Resorts, Inc.: It's okay. It's nice to have you.
Harry C. Curtis - Nomura Securities International, Inc.: Thank you.
Operator: Mr. Curtis, do you have a question for the conference today? [Technical Difficulty] (53:12-53:21)
Operator: Okay, thank you. We'll move on to Wes Golladay with RBC Capital Markets. Mr. Golladay, your line is open. Please go ahead with your question.
W. Edward Walter - Host Hotels & Resorts, Inc.: You know what, I'm guessing that we must – there must be a technical issue here because of the fact that we had two calls in a row.
Gregory J. Larson - Host Hotels & Resorts, Inc.: Why don't we try one final question and then we'll end it?
W. Edward Walter - Host Hotels & Resorts, Inc.: One more, why don't we move to the next participant?
Operator: Thank you. We'll move next to Bill Crow with Raymond James.
Bill A. Crow - Raymond James & Associates, Inc.: I'm sorry, everyone.
Operator: Mr. Crow, your line is open. Please go ahead with your question.
W. Edward Walter - Host Hotels & Resorts, Inc.: I think we should end it.
Gregory J. Larson - Host Hotels & Resorts, Inc.: Yes.
W. Edward Walter - Host Hotels & Resorts, Inc.: All right. Folks, we apologize for what seems to be a technical difficulty here, but the team will be available to answer any of your questions throughout the rest of the day and tomorrow. Thank you for joining us on this call today. We appreciate the opportunity to talk about our third quarter. We look forward to seeing many of you at the event in Phoenix in a couple of weeks and of course talking to you in February to discuss both our year end 2016 results and provide a lot more insight into 2017. Have a great day. Thank you.
Operator: This does conclude today's conference. We do thank you for your participation. You may now disconnect.